Operator: Greetings and welcome to the CoreSite Realty Corporation's First Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ms. Greer Aviv. Thank you. You may begin.
Greer Aviv: Thank you. Good morning and welcome to CoreSite's first quarter 2017 earnings conference call. I'm joined here today by Paul Szurek, President and CEO; Steve Smith, Senior Vice President, Sales and Marketing; and Jeff Finnin, Chief Financial Officer. Before we begin, I would like to remind everyone that our remarks on today's call may include forward-looking statements as defined by Federal Securities Laws, including statements addressing projections, plans, or future expectations. These statements are subject to a number of risks and uncertainties that could cause actual results to differ materially from such statements for a variety of reasons. We assume no obligation to update these forward-looking statements and can give no assurance that the expectations will be obtained. Detailed information about these risks is included in our 2016 Form 10-K and other filings with the SEC. Also, on this conference call, we will refer to certain non-GAAP financial measures such as funds from operations. Reconciliations of these non-GAAP financial measures are available in the supplemental information that is part of the full earnings release which can be accessed on the Investor Relations pages of our website at coresite.com. And now, I'll turn the call over to Paul.
Paul Szurek: Good morning and thank you for taking the time to join us today. I'm glad to share our first quarter financial and operational results with you as well as to update you on our markets and our outlook on supply and demand. Our momentum from the fourth quarter continued and we started the year strongly. Financial results for the quarter reflect continued steady growth with year-over-year increases of revenue of 24% while adjusted EBITDA and FFO per share grew 33% and 31% year-over-year respectively. Importantly in Q1 we continue to execute our business objectives and we were able to further increase efficiency and effectiveness across our organization. Leasing activity was very solid in the first quarter with new and expansion sales of nearly $10 million which was well distributed across each of our network, cloud service and enterprise verticals. Steve will provide greater detail around the compositions of our new and expansion leasing. We are pleased with the pace, pricing in terms of our sales in Q1. As we have said in previous communications, our business model is dedicated on the strength and attractiveness of our markets and the quality of our assets in those markets. The eight large cities in which we operate represent approximately 20% of U.S. population, 27% of GDP and the lion's share of data intensive business and consumer needs generating exceptional demand for performance and proximity sensitive co-location requirements. Our assets in these large edged markets are tailored for these high value data needs. They are all well positioned at key intersection of the Internet, our network and interconnection dense [ph] and have large customer ecosystems including native access to strategic public cloud on ramps. We continue to benefit from our considerable scale in each of our markets affording us the ability to deploy exceptional local go-to-market teams that provide a hands-on service intense customer experience. Our scale in each market also supports strong local facilities management leadership infrastructure capabilities. Our campuses provide scalable and flexible solutions that allow us to accommodate a great diversity of increasingly sophisticated and dynamic customer needs as our [ph] network architecture continues to evolve and require compute, storage, caching and interconnection at the edge. Our existing customer ecosystems are thriving and generating new demand; we see this most clearly by looking at new logo growth as we work to identify and to track new customers that can add value to the ecosystem. In the first quarter we added 32 new logos, 84% of which were enterprises which are attracted to the established network and cloud density available across our portfolio. As a result of these market and scale dynamics, we continue to see considerable growth opportunities within our existing markets and campuses. We have in-flight $84.6 billion of new computer room construction. We have also commenced construction on the first phase of our rest in campus expansion. In order to keep up with a strong sales funnel in that market we are building a 25,000 square foot three megawatt computer room in one of the existing buildings on our new property at a budgeted cost of $22 million which we expect to complete early in the fourth quarter. We will also commence construction in the middle of the year on a central infrastructure building and a new six megawatt data center building which collectively are budgeted to cost $85 million and be completed in the second quarter of 2018. Please remember that all these buildings are in very close proximity and connected by diverse fiber pass to our existing rest and data centers and interconnection node and our public cloud on ramps. We have expansion capacity in almost all of our other markets; including Virginia we have entitled capacity to expand our portfolio square footage by 65% and we also have additional land which we believe can be entitled for expansion. We will continue our ongoing program to identify and acquire more expansion that's in our markets to keep abreast of demand. As part of that initiative we recently signed a contract to acquire a two acre land parcel with a 30,000 square foot industrial building we will raise immediately adjacent to our existing Santa Clara campus. The purchase is subject to customary due diligence, much of which we've enabled to complete prior to signing. We estimate that we could build approximately 160,000 square feet of new data center capacity on this partial comprising 18 megawatts at full build out. We currently anticipate closing on the land in the third quarter of 2017. We estimate the cost of the land, building, and first phase of computer rooms including cost associated with design entitlement and permitting to be approximately $118 million. We are pleased to have this path towards expanding our very successful Santa Clara campus and the customer ecosystem thereon where approximately 81,000 square feet remains in our current inventory. Across our markets demand remains healthy for high performance low latency co-location solutions while supply remains generally consistent with demand. We are seeing consistent demand and a healthy balance with supply in Los Angeles as minimal new supply has been brought online over the last two years and churn at other data center operators has only modestly increased supply. The steady pace of absorption in this market supports the growth of our L.A. two facility with an additional 41,000 square feet of turnkey data center capacity now under construction. This incremental inventory will ensure we are well positioned to keep pace with demand in the market and what we view as a solid funnel and favorable pricing dynamics. In the Bay area, similar to last quarter, inventory across the market remains constrained and pricing remains positive. New capacity is coming online though a substantial amount of it appears to be preleased and targeted to large wholesale. Despite the new supply, we expect the market to continue to be supply constrained in 2017, particularly as it relates to requirements for scalable network and interconnection dense deployments. Regarding Northern Virginia and D.C. demand continues to be strong following a record year of absorption in 2016. Occupancy rates remain high in this market and new and potential supply seems concentrated on the large wholesale market and it appears that a good amount of the new supply is pre-leased. We are excited about our opportunities in this market and in the downtown Washington D.C. market due to the strong demand and a more limited supply for small, medium-sized and scalable performance and interconnection sensitive requirements, especially those seeking diversity from Ashburton [ph]. Finally in the New York/New Jersey market, we are encouraged by another sequential uptick in the face of leasing with 20 new and expansion leases signed in Q1, more than 60% above the trailing 12-month average. Leasing at NY-2 was quite robust accounting for two-thirds of leases executed, and the majority of new logo signed in this market. As we continue to support a growing community of enterprises, domestic and international carriers, and leading cloud providers; we see a steady stream of leasing activity amongst smaller customer deployments which is weighted toward the enterprise vertical including financial services and healthcare organization. We continue to feel good about the funnel in the New York/New Jersey market. To wrap up, the first quarter again demonstrated our consistent execution, both financially and operationally. We will continue to differentiate core site with our large edge market focus and our hybrid approach providing both scalability and flexibility to our customers based on their changing needs. We will remain focused on bringing additional capacity online in our markets to meet customer demand and accommodate ecosystem growth. As we look ahead, we believe that we have a compelling opportunity to continue to drive strong internal growth from our existing assets and to effectively develop new asset to meet growing demand or generating attractive returns for our shareholders. With that I will turn the call over to Steve.
Steve Smith: Thanks Paul. I will begin by reviewing our overall new and expansion sales activity during the first quarter, and then discuss in more detail our vertical and geographic results. Our Q1 new and expansion sales totaled $9.7 million in annualized GAAP comprised of 46,500 net rentable square feet at an average GAAP rate of $209 per square foot. This rate is 5.5% above the trailing 12-month average, primarily due to higher deployment signed during the quarter. We have seen a modest uptick in the average density over the past three quarters and we normalized for density, the Q1 rate was in-line with the trailing 12-month average. Regarding the composition of our new and expansion leasing by size of deployment, leases signed at 5,000 square feet or less totaled $6.3 million at annualized effort signed in Q1. During the first quarter was signed two leases greater than 5,000 square feet each which included net expansion of existing strategic customer. We continue to be encouraged by strong network and cloud service provider demand which we believe create stability and long-term attractiveness for our ecosystem and is synergistic with enterprises looking to either outsource their IT infrastructure or support a hybrid multi-cloud deployment. Since our view that these diverse and highly interconnected customer communities across our platform continue to attract new logos to our data centers. When looking at geographic distribution, 88% of the new logo sold in Q1 were deployed across our four largest markets. As it relates to our vertical distribution, 84% of those new logos were in the enterprise vertical. This group of new enterprise customers includes a multi-site gaming platform, a multinational mass media corporation, a multinational law firm, and a British visual effects company. Net of customer churn, we added 60 new logos in Q1. In addition to our solid new and expansion leasing, renewals in Q1 resulted in approximately 95,000 total square feet renewing at an annualized GAAP rate of $146 per square foot, 6% below the trailing 12-month average primarily due to a specific low density customer renewing in the Los Angeles market. Our renewal pricing reflects mark to market growth of 1.9% on a cash basis and 5.5% on a GAAP basis. As a reminder, we expect cash rent growth of approximately 3% for 2017 to be modestly weighted towards the second half of the year. Churn in the first quarter was 1.1%, in-line with the lower end of our historical quarterly average of 1% to 2%. Supported by our success with the small to medium-sized transactions I discussed earlier; interconnection revenue grew 14% year-over-year in Q1 reflecting total volume growth of 10%. Volume was comprised of a 15% increase in cyber cost-connect [ph]. We remain encouraged by the demand outlook for interconnection services and the value they bring to our customers. These services enable customers to provide a low latency performance, needless to support a multi-cloud, IT architecture is required to better serve their own customers, suppliers and employees in this increasingly performance sensitive digital economy. As such we continue to enhance our go-to-market strategy to drive awareness of the unique value that our customer ecosystem delivers within our data centers. Enabled by the course community which provides dynamic web-enabled interface, customers can learn of other service providers; how they can benefit from one another and engage easily just for their IT strategy. These services include number providers, thought on [ph] ramps, maintenance service providers, and software providers; just to name a few. With respect to vertical mix with our ecosystem, during Q1 networking cloud customers accounted for 9% and 36% of annualized signed respectively. Specific to the cloud vertical, we continue to see strong momentum with three new logos including the cloud-based on-demand platform serving the financial services industry, as well as a cyber-security managed services organization. In addition, during the quarter we signed an expansion with a strategic customer in Northern Virginia and a software-driven cloud networking solutions provider expanded its footprint with us to the point of private [indiscernible]. The network vertical had a strong first quarter driven primarily by expansions of existing customers. Networks are continuing to grow and expand within existing building and deploying that the new buildings with us. So they see an increase in end-customer requirements from our growing ecosystem. Demand was broad based as we start, network providers expand with us in nearly every market in which we operate. As it relates to our enterprise vertical, this vertical accounted for 54% of annualized GAAP rent signed in the first quarter. Performance was driven by expansions with managed service providers and digital media companies with several new logos and the media and entertainment space. We signed a sizable expansion with a global content delivery network for live streaming and other web-based content, and expansion with a leading online video game platform and an expansion with a global systems integrator supporting a critical public sector service. We're pleased to see continued momentum and diversity within the enterprise vertical as these companies look to rearchitect their IT requirements around hybrid cloud deployment. From a geographic perspective, our strongest markets in terms of annualized GAAP rent signed and new and expansion leases during Q1 with Northern Virginia D.C., Los Angeles, Silicon Valley collectively representing 87% of annualized GAAP rent signed in the quarter. In Northern Virginia D.C., the pace of leasing remains robust with continued strong demand from smaller requirements and one large lease signed in Q1. As we have seen in recent quarters, [indiscernible] remains strong with these customers accounting for nearly 60% of leases executed and substantially all of the new logos signed in Northern Virginia D.C. Stabilizes occupancy in this market now stands at 96.4%, an increase of 30 basis points on a sequential basis given the number of commitments occurring across the campus during Q1. Demand in our Los Angeles market continues to be steady driven by demand from smaller customer requirements, as well as expansions of existing customers. Demand in L.A. was skewed towards our LA-2 facility with leases signed at this building accounting for 77% of annualized GAAP rent signed in the market. The strength of our sales pacing at LA-2 reflects the success of our overarching baseline strategy which is to leverage the value of our legacy, low latency and network dense facilities such as LA-1 that are then redundantly connected by high account dark fiber providing not only high performance but also increased flexibility and scalability to support the higher density requirements of today's workloads. In terms of verticals, enterprise was our strongest in this market followed by network and cloud. Stabilized occupancy in the Los Angeles campus was 92.5% at the end of Q1 down 10 basis points from Q4. Activity in the Bay Area was strong with leases executed at all of our available multi-tenant data centers in the market. Demand for our new turnkey data center tested as we said and was particularly strong, the leasing of this building accounting for approximately 90% of annualized GAAP rent started in the Bay Area in Q1, as customers take advantage of the low latency, high performance access to the network and cloud in enterprise community, we have developed on static their campus and across the Silicon Valley market. In terms of verticals Q1 lease executions in this market were again weighted towards cloud followed by enterprise appointments [ph]. Stabilized occupancy across our Silicon Valley campuses decrease 40 basis point to 96.3% due to some modest churn in Q1 and Q2. In summary, 2017 is up to a solid start in terms of leasing activity and the continued maturation of our customer ecosystem. We believe we are well positioned to continue to gain market share on the performance sensitive side of the market given our scalable, flexible mix of available capacity, significant network and cloud density and a differentiated customer experience. I will now turning the call over to Jeff.
Jeff Finnin: Thank Steve, and hello everyone. My remarks today will begin with a review of our Q1 financial results followed by an update on our development CapEx and our leverage in liquidity capacity. I will then conclude my remarks with an update on our 2017 guidance. Q1 financial performance resulted in total operating revenues $114.9 million a 4% increase on the sequential quarter basis and 24.3% increase year-over-year. Q1 operating revenue consisted of $95.1 million in rental and power revenue from data center space up 3.6% on a sequential quarter basis and 25.2% year-over-year. In our connection services revenue contributed $14.5 million to operating revenues in Q1 an increase of 3.8% on a sequential quarter basis and 13.9% year-over-year, in tenant reimbursement and other revenues were $2.3 million. Office and light industrial revenue was $3 million, which includes revenue associated with the rest and campus expansion. Q1 FFO was a $1.13 per diluted share in unit, an increase of 6.6% on a sequential quarter basis and a 31.4% increase year-over-year. The strength in FFO was due in part to better than expected rental revenue following a year of record commencements in 2016 and better than expected flow through to adjusted EBITDA resulting in better margins. Adjusted EBITDA $64.4 million increase to 6.2% on a sequential quarter basis and 32.8% over the same quarter last year. We continue to expand our margins with our adjusted EBITDA margin expanding to 54% measured over the trailing four quarters ending with and including Q1 2017. This represents an increase of 260 basis points over the comparable year ago period. Related trailing 12 months revenue flow through to adjusted EBITDA and FFO was 67% and 60% respectively. Sales and marketing expenses in the first quarter totaled $4.5 million or 3.9% of total operating revenues down 70 basis points year-over-year. In general and administrative expenses were $8.1 million in Q1 correlating to 7.1 % of total operating revenues, a decrease of 230 basis points year-over-year, reflecting a benefit of approximately $0.01 per share related to annual compensation true ups [ph]. Now turning to our same store metrics. Q1 same store turnkey data center occupancy increased 430 basis points to 90.9% from 86.6% in the first quarter of 2016. Additionally, same store monthly recurring revenue per cabinet equivalent increased 7.3% year-over-year and 0.5% sequentially to $1,439. On a per unit basis, the largest contributor to the year-over-year growth in our MRR per cabinet growth in power revenue, followed by interconnection and rent growth. Keep in mind that our same store pool is redefined annually in the first quarter, and the 2017 pool only includes turnkey datacenter space that was leased or available to be leased to our co-location customers as of December 31, 2015, at each of our properties and excludes powered shell datacenter space. We commence a 37,000 net rental square feet of new and expansion leases at an annualized GAAP rent of $244 per square foot, which represents $9.1 million of annualized GAAP rent. We ended the first quarter with our stabilized data center occupancy at 94.7% an increase of 20 basis points compared to the fourth quarter and an increase of 410 basis points compared to the first quarter of 2016, reflecting the record level of leases that commenced during 2016. Turning now the backlog. Projected annualized GAAP rent from signed but not yet commenced leases was 5.6 million as of March 31, 2017 fairly consistent with where we ended the year and $15.7 million on a cash basis. We expect substantially all of the GAAP backlog to commence during the remainder of 2017. Turning to our development activity. We had a total of 116,000 square feet of turnkey data center capacity under construction as of March 31, 2017. With development and expansion projects Northern Virginia, Washington D.C, Los Angeles, Denver and Boston. As of the end of the first quarter, we had spent $16.9 million of the estimated $106.9 million required to complete the project. As shown on Page 21 of the supplemental, the percentage of interest capitalized in Q1 was 9.9%, for 2017, we continue to expect the percentage of interest capitalized to be in the range of 10% to 15%. Turning to our balance sheet. As of March 31, 2017 our ratio of net principal debt to Q1 analyze adjusted EBITDA was 2.8 times, including preferred stock the ratio was 3.2 times slightly below where we ended the year. Including preferred stock the Q1 leverage in adjusted EBITDA levels provide capacity for an additional $195 million of debt assuming a four times debt to adjusted EBITDA ratio. With that in mind, last week we closed two separate financing transactions, resulting in additional liquidity of $275 million modestly above the amount we targeted given the lender demand in economics. The first transaction results in an incremental $100 million of liquidity by expanding in existing senior unsecured term loans, originally scheduled to mature in 2019 to a total of $200 million. The expanded term loan has a new five-year term maturing in April of 2022. In addition, we successfully raised $175 million through a private placement bond offering, priced with a 3.91% coupon. The execution of the expanded term loan and private placement offering allows us to improve our overall liquidity position, manage our debt maturity profile and maintain both financial flexibility and a balance between fixed and variable price instruments in our capital structure. The proceeds of both transactions were used to pay down all outstanding amounts on the revolving portion of our existing credit facility providing approximately $362 million of available liquidity to fund our growth and development plan. Now in closing, I would like to address our updated guidance for 2017. I would remind you that our guidance reflects our current view of supply and demand dynamics in our markets, as well as the health of the broader economy. We do not factor in changes in our portfolio resulting from acquisitions, dispositions or capital markets activity other than what we have discussed today. As detailed on Page 23 of our Q1 earning supplemental, our guidance for 2017 is as followed. Total operating revenue is now estimated to be $472 million to $482 million, compared to the previous range of $470 to $480mmillion based on the midpoint of guidance this implies 90.1% year-over-year revenue growth. Keep in mind that our revenue guidance is dependent upon the power product composition of deployments within our portfolio, and how quickly the larger, metered power deployments install their infrastructure and ramp into their associated power requirements. As relates to interconnection revenue growth, we continue to expect the 2017 revenue growth rate to be between 13% and 16%. General and administrative expenses are now expected to be $35 million to $37 million or approximately 7.5% of total operating revenue. This correlates to an approximate 2% increase in G&A expenses over 2016. Adjusted EBITDA is now estimated to be $256.5 million to $260.5 million up from the prior range of $253 million to $258 million. This correlates to 22% year-over-year growth based on the midpoint of the range and adjusted EBITDA margin of approximately 54.3% and revenue flow through to adjusted EBITDA of approximately 61%. FFO was estimated to be $4.35 to $4.45 per share and OP unit compared to the previous guidance of $4.25 to $4.35 per share, an increase of 2.3% at the midpoint. This implies 18.6% year-over-year FFO growth, based on the midpoint of the range and the $3.71 per share we reported in 2016. In addition, due to the completed financings we expect FFO per share result to be fairly balanced in the first and second halves of the year, and therefore FFO growth to be weighted toward the first half of the year. We also anticipate this to result in a decreased revenue flow through to FFO, which we estimate at approximately 45% based on the midpoint of our updated 2017 FFO guidance. As relates to our guidance for capital expenditures in 2017. We are increasing the total expected investment to a range of $280 million to $310 million from the previous range of $243 to $271 million, the biggest drivers of this increase are increased data center expansion investment, which we now anticipate to be $241 million to $259 million, compared to the prior range of $212 to 228 million. As Paul mentioned this updated range includes the first two phases of expansion in Reston, additional turnkey data center capacity at L.A-2 to support demand in that market and the acquisition costs associated with the land under contract in Santa Clara for our build out of S.B8. In addition, we are increasing our expected investment in recurring capital expenditures to a range of $21 million to $25 million from the prior range of $13 million to $17 million, this represents a significant increase from the 2016 level and a substantially higher level than we expect to spend in subsequent years on average. The increase in 2017 is largely driven by the opportunity we had to replace our chiller plant that existed when we originally purchased L.A2 upon deciding to commence the build out of incremental capacity on our fourth floor. The new equipment is more energy efficient and with the economies of scale from the new construction, it made sense to combine the replacement of the older equipment in this project. The older equipment was originally scheduled to be replaced in 2019, and was accelerated due to the cost savings and our continuing pursuit of improved PUE. This incremental capital investment will also provide a return on investment that is substantially higher than our overall stated return objectives in criteria. Now we'd like to open the call to questions, operator.
Operator: [Operator Instructions].
Paul Szurek: While Audrey is pulling for questions, I just wanted to comment very quickly on the fact that we issued a corrected and replaced earnings release this morning, shortly after our initial release, that was done, as we needed to correct some prior period financial information specifically related to Q4 and Q1, 2016-income statement. The initial release included in reflected some incorrect information, I just wanted to mention that before we get into Q&A in case there was some remaining questions from that. Audrey?
Operator: Thank you. Our first question comes from the line of Jordan Sadler with KeyBanc Capital Markets, please state your question.
Jordan Sadler: Thank you and good morning out there. Wanted to follow up on guidance. The increase it makes sense given the quarter's results, I'm curious what might be the drag as we look at the run rate you are able to achieve in 1Q. What the offsets are as we look forward to the rest of the year, outside of obviously the financing you discussed and the churn event you have coming in 2Q.
Jeff Finnin: Good morning, thanks Jordan. I think you touch on two critical elements, first, as you discussed the interest expense associated with the incremental finances, if you just think about for instance Q2 we think about Q2 is that in subsequent quarters the interest expense have been about a $0.02 per share drag on earnings per quarter. In addition, as you mentioned we do have our last churn event from our customer out in the Bay Area, and that churn event also will be contributing a decrease of about $0.02 per share in the quarter - in the second quarter think about that. One other item we did mention in the call or on my prepared remarks, was the fact that we did get about a penny per share benefit in our G&A during the first quarter associated with some true-ups [ph] we made on our compensation year in compensation true-ups [ph]. So that give you some idea how we've been looking at it at least pacifically for the second quarter. And then beyond I would say it's largely going to be attributable to the timing of our commencements, and at the end - at the end of the day it's going to be driven by the timing associated with that and ultimately have a sales continued to generate and reflected for the rest of the year.
Paul Szurek: But Jordan, to that we obviously saw a lot of commitments up in Q4 which are growth significant revenue growth that we're seeing in early - earlier in the year so that's hoping to see the growth earlier we plan to see that moderate as we go forward in our traditional year.
Jordan Sadler: Okay. And this $30 million commencement guidance obviously looks like a new statistic you'd be providing which should be helpful, but relative to historical commencements, it feels like it's a little bit light and is that - would you say that's a function of just available inventory today.
Jeff Finnin: Yes, I think you know in our call last quarter we gave some commentary around historical commencements and my recollection if you just look at the past several years, our commencements have averaged somewhere around $26 million to $27 million per year just depending upon the year. So it's up slightly from the pace which we've seen historically, and so that's where we're patient to and hopefully to execute. If you just look at what we did commence in the first quarter we were at $9.1 million. Our backlog that were exit in the quarter at is $5.6 million and we've said that that will all commence at various times during the rest of this year. So we're at slightly less than $50 million, we're at about 50% of the way there, we feel good where we are and Steven and his team continues to work to try and hit and or outperform.
Jordan Sadler: Okay, there was a news report recently of a competitor taking some space in L.A1 and I had a curiosity as to what the impact of that might be on the dynamic in that market, meaning would you view that as more competition for L.A2. Or how we should be thinking about that.
Paul Szurek: Jordan, this is Paul, thanks for that question. We view that as kind of business as usual, one will sure --there has always been an ecosystem there that included space that we didn't control. As it relates to that particular space, the anchor tenant for that space which takes up most of that space just wasn't a deployment that required the value that we provide in our - in our particular solutions and in fact it's not even going to be connected directly to the meet-me room. So it just wasn't in the fairway for the sort of things that we do. The tenet that has the space overall, we have a good working relationship with them and as we said on prior calls, we have a - we have a unique for care - historic care hotels we have a unique set of rights to preserve the value of our meet-me room experience of our meet-me room composition, and we have been able to work very successfully with the other people in the building to make that work for everybody. So you know, long story short we don't view this as a meaningful change in [indiscernible].
Jordan Sadler: Okay, just - that is helpful. One last clarification and I noticed that the MRR per CABI reported went to 40, 39 I think in the quarter. And it looks like either of the change in disclosure that I made to maybe I missed something, my last quarter supplement I had 15, 29 I don't know if there was change I missed.
Jeff Finnin: Yes, no - we - that same store pool gets updated in the first quarter of every year, Jordan, just because we then add an incremental level of real estate so that it's just a defined new pool. And that happens every year in the first quarter.
Jordan Sadler: Okay, that is helpful, thank you guys.
Operator: Thank you, our next question comes from the line of [indiscernible]. Please state your question.
Unidentified Analyst: Good morning guys. I guess you've been doing a large number in a fairly consistent number of smaller deals the average size has been largely the same last couple of quarters, in the number of deals as well. I think one of the things that maybe caught us off guard in the power revenue did slow and if you mentioned in your primary comment I didn't hear it, but it is the slowdown in sequential growth in power revenues a function of just maybe the deal just kind of just above the threshold for recognizing power revenue. Is there anything that happened in the first quarter we should be thinking about.
Jeff Finnin: Yes. Steve?
Steve Smith: I provided a little bit of color commentary on that as it relates to guidance, and it really simply relates to if you look at our historical leasing over the last call it two to four quarters, we have been leasing and specifically SV7 had some larger metered power deployments that ultimately commenced in early on in the fourth quarter of 2016. Ultimately the power revenue associated with those will be dependent upon when those customers ultimately deploy all of their architecture, and then ultimately begin drawing on a metered basis. And those are large supplement just take some little bit of time to get that ultimately installed and before they're ultimately drawn into power levels that we've expected.
Unidentified Analyst: And is that in 2017.
Steve Smith: Yes.
Unidentified Analyst: I guess as we think maybe moving forward with regard to some of the new development whether it's on Santa Clara or Reston or we've get a quite a bit of capital going to go out the door, should we expect to see you maybe anchor some of those developments as they start to come on line as we think about maybe late 2017 or early 2018 doing some larger deals and transactions at those - at those parcels.
Paul Szurek: We do as you as you know follow a policy we started a couple years ago of seeking strategic tenants to pre lease space in newly developed data centers and will continue that would be new developments as well.
Unidentified Analyst: Okay, no real change I guess on the policy there is what you are saying.
Paul Szurek: No change.
Unidentified Analyst: That's helpful, alright thanks.
Paul Szurek: Thanks, David.
Operator: Thank you, our next question comes from the line of Jonathan Atkin with RBC Capital Markets, please state your question.
Jonathan Atkin: Thank you. So on that last question maybe just to push back on the pulse that is if the site is across the street and immediately adjacent what - why wouldn't you want it just to immediately kind of continue the kind of that retail progress that you see in SV7, and not necessarily seek a larger anchor.
Paul Szurek: Well, we have other places in the Santa Clara campus to accommodate the retail demand. And we just find their tremendous synergies both with enterprise and retail demand going forward and having the right strategic tenants in place, during the - during the pre-leasing process. On top of which as you guys know developing in Santa Clara does take some time for entitlements, so there's plenty of time during the entitlement and pre-construction process to seek those kind of anchor tenants without really slowing down the realistic schedule of construction.
Jonathan Atkin: The 118 million. How many - What's kind of your baseline assumption on megawatts of critical load and is that [indiscernible] what can you share on that in terms of your baseline assumptions.
Paul Szurek: You know, that's for - that's to bring the first third of capacity into the data centers, so it's about six megawatts, it will eventually expand 18 megawatts our best guess is that cost per kilowatts about 10,500 to 11,000 per kilowatt. And that will provide the same mix we provide today which is 2 and plus 1 to accommodate customers that have differing needs.
Jonathan Atkin: And then maybe for Steve or you Paul, but I'm just interested in kind of the interconnection revenues and the ecosystems that are driving that, is it just the traditional ones that are continuing to grow or is there emerging one that you're seeing their starting to gain share within the revenue mix interconnects.
Steve Smith: This is Steve, we are seeing continued growth just on a broad base level but we're really seeing accelerated growth is really around the enterprise connected to the cloud. We've seen over 14% growth year-over-year, so that continues to be a healthy market for us and I think just speaks to overall strategy of trying to drive on ramps available in those markets and that versus of cloud networking enterprise.
Jonathan Atkin: Is there anything around advertising or Internet of things or any at anything else worth call it out as a driver in interconnects.
Steve Smith: Sure, and I think the Internet of Things going to ply do a lot of things, so we do see that across the board and whatever business you happen to be and typically the Internet is involved, so we do see a lot of different enterprises really requiring those hybrid multi-cloud type of deployments as well as just using their infrastructure to do commerce over the Internet. We feel that customers are continuing to see value in that within our data centers and the overall legal system that brings all the - those things together helps them drive more of their business and that's where we've seen a lot of growth.
Jonathan Atkin: And then just real quick two more on Chicago I think 95% utilization and as you think about expansion in that market is it is it down town, is it suburbs where it would be kind of your thoughts there. And then on the new logo capture I am just interested in whether the majority of those are taking occupancy at one of your sites or multiple sites, thank you.
Paul Szurek: Just so you know, the start off with as far Chicago is concerned we continue look at markets and the opportunity there that to grow, a lot of it comes down to where we have capital already deployed where we see the maximum return for our shareholders in each given market, and what the absorption looks like there as well as the competitive dynamics. And Chicago definitely one of those that we continue to look at, we do have an opportunity to better efficiencies out of the facility that we have there today, but we continue to look at new opportunities to expand the Chicago market that continues to remain attractive for us.
Jonathan Atkin: For the new logos 6 single site or multi-site mostly.
Paul Szurek: We're seeing an increase in multi sites, our customers start to deploy in more markets but for the majority of our new logos that we find that typically come in as a single market.
Jonathan Atkin: Thank you very much.
Operator: Thank you. The next question comes from a line of Colby Synesael with Cowen and company, please state your question.
Colby Synesael: Thank you. You talked in your prepared remarks about improvement in profitability in Presley, you talked about increasing efficiency, I was wondering if you dive a little bit further into what you might be doing and how that might be different that in quarter's past. And then also just as a point of clarification the Phase 1 of the - for the new facility to be built on the land that you're - that you're acquiring. Recognizing that can take some time and you talked about having to take a building down first, how quickly do you think you could actually get that out to market. Thank you.
Paul Szurek: Thanks Colby. Good questions. First on the - on the latter question. My guess is that building would come online probably about 18 to 22 months after we close on the land purchase, could be - could be faster depending upon how quickly the entitlements process goes, and as you know that's always the hardest thing to predict in some jurisdictions more so than others. Efficiency and effectiveness, we are continuing programs we started a couple of years ago to re=architect our own IT systems, to provide our people in the field and our construction and development teams with better tools to manage and take care of the plants and the facilities and to do new development, reduce the amount of time they have to spend on tasks that the systems can do for them. And not only to gain more efficiency from each person, but also to be able to be more proactive in how we take care of plant and equipment, just so you know, we have a great record for reliability. Sometimes that involves more unscheduled time than is necessary and these systems give us greater visibility and the ability to be more proactive. And that's really going on across the organization, and that's just part of the maturation of the company, and the benefits of our increasing scale.
Colby Synesael: And was there anything that happened I guess in the in the first quarter in particular that allowed you see any step improvement and profitability that the products may have completed.
Paul Szurek: No single thing in particular, just a number of small things that together add up to incremental efficiency and that's probably going to be our pace for the next few quarters.
Jeff Finnin: Additional commentary I would add, this isn't specifically related to efficiencies but first quarter while we did highlight you know we had a benefit of about a penny associate with some annual comps ups, and we also benefited we think from having some lower bad debt expense the first quarter, we hope that continues but obviously that's a hard one to predict, and again it is something to watch closely, but all signs in the first quarter looks very good.
Colby Synesael: Great, thank you for that.
Operator: Thank you. Our next question comes from the line of Robert Gutman with Guggenheim Partners, please state your question.
Robert Gutman: Hi, thanks for taking the question. So I was hoping you could provide a little more color on network demand. Is it being driven by the deployment of content delivery infrastructures support of OTT offerings, is it unify communications and what are some of the underlying drivers there?
Steve Smith: Hi Robert, this is Steve. We are really seeing it across the board, I mean as enterprises interconnect more between their locations as well as with our customers and suppliers are driving more and more demand just in general. We do see - depends on the market I guess a previous way to look at it so as we talked about in the earlier remarks the L.A. market is obviously very entertained in kind of delivery focus as far as the general market is concerned, so we see greater demand there and with that comes greater demand for the network that goes along with it. But overall, between cloud come to delivery just the proliferation of enterprise and how they connect to their suppliers and employees across the globe, frankly, that just requires more and more network to do so.
Robert Gutman: Great, thank you.
Operator: Thank you. Our next question comes from the line of Michael Rollins with Citi. Please state your question.
Michael Rollins: Hi, thanks for taking my question. Look like most of your net leasing growth in terms of number leases came from the point under 5,000 square feet. I'm wondering if as you unpack performance of that segment or category versus the others, what are you seeing in terms of new customer interest versus lease from existing. And are there certain markets that you find are doing better than others on the smaller co-location side of the deployment game, thanks.
Steve Smith: Hi Michael, this is Steve. I'll give you a little bit of color on just the overall approach and where we're seeing demand and try to give you a little more from the financial perspective. From an overall lease perspective as we talked about in the earlier comments, we do see a vast majority of the transactions being created in that less than 5,000 square foot space and that's really a reflection of our go to market strategy, which is that three pronged [ph] approach between enterprise, network and cloud but a lot of effort and focus is around driving enterprise into our data centers, that then those cloud and networks want to connect to and those enterprises obviously want to see the value from. So it's a lot of work, a lot of effort to bring those type of customers in, but that's the vast majority of the new logos that we saw in the first quarter, and frankly every quarter is through the enterprise, and as we see that market continue to mature my expectation is that we would continue to see that proliferate across our ecosystem. That answer's your broader base question, but in general across each of our markets that is where the focus is, is driving enterprise which of those less than 5,000 square foot deployments typically sometimes are networks as well, but for the most part those are just the traditional enterprise in the larger over 5,000 square foot type of deployments are either large fortune 1,000 type of deployments or cloud content type of delivery.
Paul Szurek: I would just add to what Steve said, going back to the introductory comments about our business model and the importance of being scalable and flexible for your costumers. Adding new logos has long been a part of a consistent strategy, providing - bringing new companies customers in and that will then subsequently expand and also providing expansion business for the customers that we have in place that provide network and cloud and other services. And there is a lot of synergy between those communities and that's why the ecosystems seem to keep throwing up the value that they throw, and why it's important for us to continue to be able to provide that scalability, flexibility because we see an enormous amount of growth from the customers that we bring into the ecosystem, and the growth they drop to other people that are already in the ecosystem.
Michael Rollins: And one another follow up on the numbers. Is there any reason why that growth the power in the quarter sequentially significantly [56:50] in the quarter.
Jeff Finnin: Yes, Mike this is Jeff. I've mentioned earlier it really relates to some of our larger wholesale deployments specifically at SV7 that deployed and those deals commenced I guess in early Q4 of 2016. Those customers are deploying gear at this time and it really just ultimately the power generally might lag the increase in rent associated with those deployments, because it takes a little while to get their gear deployed and ultimately start power - power that those deployments are going to need and that we sold into those particular customers.
Paul Szurek: The other qualifier I would add there or beyond just to the revenue portion is the margin that goes along with that power obviously those larger deployments typically those are metered type of deployments which are traditionally pass through power and not necessarily bring a lot margin to us as far as the power margins associated with it. So just to provide some clarity there.
Michael Rollins: Thanks.
Paul Szurek: Thanks Mike.
Operator: Thank you, our next question comes from the line of Matt Heinz with Stifel, please state your question.
Matt Heinz: Thanks. You highlighted particular strengths in demand from the network vertical - I was hoping maybe you could highlight any specific region where you're seeing that strength, is it kind of [indiscernible].
Steve Smith: Hi, Matt, this is Steve. I would say it's really varies from network provider to network provider and really region to region, so it's hard to give you some general around where we are seeing more strength from a network perspective, a lot of it just depends on the maturity of the facility. And how we see the - eventually choose to build natively into those buildings. L.A2 probably a great example of that where our initial strategy which is still work very well for us, has been leveraging the dark fiber tether [ph] between LA1 and LA2 is still a great way for us to provide customers the scalability and performance that they see at LA1 but in a more scalable campus in LA2. At the same time, that building has matured and we've seen more customers deploy their - networks have also chosen to deploy their natively as well to be more efficient for them they see the same benefits and so you see that happen as we - you see buildings mature over time and we're seeing the same thing in NY2 as well as that as it matures over time. I think you just see that across the markets as we start to get better synergies in our ecosystem in each of our facilities. But overall, networks tend to coalesce around one another and we see that continue to mature as we experience our strategy.
Matt Heinz: Okay, thank you. And there is a follow up to that, I think you mentioned fiber volume growth outpaced [indiscernible] by about 100 basis point per quarter, I guess that flattening - I was wondering if you could add some color to that - and I also missed the growth in the logical - interconnect.
Jeff Finnin: Hi Matt, this is Jeff. Let me give you some color. Steve gave a little bit of this on his script but overall cross connect volume growth for the quarter was 10.3%. The fiber as you just alluded to was 15% of that so blended - I'm sorry a 10.3% volume growth overall, and as you just alluded to overall revenue growth was about 13.9 %. So I still think there is some pricing strength there, it has not decreased but that 10.3 was overall volume growth.
Steve Smith: Then just to give you a bit more color around the overall growth numbers. The fiber cross connects the traditional go to for customers are looking to do approximates with their facilities. Some of the decrease that you see is really related to the mix that we've seen over the past several quarters, we look at to larger wholesale deployments versus smaller retailed deployments, and the larger deployments obviously get little bit more diluted because they're leveraging more square footage for maybe a smaller number cross connects than a traditional enterprise might for the same sized footprint. So that's just why you see it a little bit of a decline in that regard. I do think that some customers the networks are starting to explore a bit around 100 gig which they get a bit more efficiencies around but at the same time a connection is the connection they need to - where they need to connect a cloud provider or a network that's still a physical connection or in some cases a logical one.
Matt Heinz: Are you still disclosing the growth in last quarter connection services [indiscernible]?
Jeff Finnin: My apologies Matt, overall volume growth on the logical interconnection this quarter year-over-year was 6.5% I think that's actually deceleration from where we were in a previous two quarters and that's largely attributable to a couple of customers where we had some churn in those particular abundance but overall this quarter was 6.5% year-over-year.
Matt Heinz: Okay, thanks very much guys.
Operator: Thank you. Our last question comes from the line of Lukas Hartwich with Green Street Advisors. Please state your question.
Lukas Hartwich: Thank you. I know you guys don't play a lot in the wholesale arena, but I'm just curious what are your thoughts on the supply and demand dynamics there?
Steve Smith: Hey, this sis Steve, I can give you my sense on it and I'm sure Paul and Jeff would chime in as well. Wholesale can [ph] in a lot of different ways and as we stated in our strategy it's really opportunistic as far as CoreSite is concerned and that opportunity comes with not only new builds that we may be doing in the market, but also how they fit into our ecosystem and our overall strategy relative to those three pillars around enterprise, cloud and network. So in the typically the wholesale deal that we've been engaged in, we do have a new bill that's going on but they will also contribute to that overarching strategy. We have typically now participated in the hyper-scale type of deployments that you see in less interconnect sense of type of markets, we don't see a dramatic change in that strategy.
Paul Szurek: We do in that market see the same things that we've commented on by some of the analysts that that hyper-scale market does tend to be somewhat lumpy, a lot of procurement and then growing into procurement. But then there will be another stage of procurement expected down the road, and we think that's going to continue for some period of years as far as we can see. Consistent with the overall growth in data and data traffic and all the different things people do with data right now.
Steve Smith: I would say one of the areas that we have seen an increase in what you would probably traditionally call wholesale is published early in his remarks around the edge and how those edge type of deployments may be sizable in some cases but are still very performance sensitive, the reason why they need to be close to the edge in order to provide a very performance sensitive type of response back to their customers or other applications that they may be delivering service to. So those are a bit unique in their deployments but we are seeing a bit of an uptick there.
Lukas Hartwich: That's helpful. And then my last questions around New York and the improvement there. Is that market related or is that more company just better company execution, what is kind of driving the uptick there.
Steve Smith: I think it's kind of a combination of both frankly. The team there is matured over time and we're seeing better results out of the team as we build there. I think the ecosystem there has strengthened over time so we've seen that in various markets as we get customers then ecosystems established there that they as Paul mentioned earlier, they start to throw up more value to other participants there, they continue to grow and that that helps drive more revenue, the market starts to find out more and more about the value that we provide in that space. So I think it's a combination of a lot of that and I think them overall the market is maturing there as well. We are optimistic about the outlook and we continue to work hard every day to keep it going.
Lukas Hartwich: Great, thank you.
Operator: Thank you that does conclude our question and answer session. At this time I will now turn it back Mr. Paul Szurek for closing comments.
Paul Szurek: Thanks everybody on the call for your interest in the company. We are - as we mentioned we're very pleased with this quarter and pleased with what we see going forward, I would like to thank all of our colleagues at CoreSite to work really hard every day to take good care of their customers and try to stay ahead of costumer demand and we look forward to the rest of the year, thanks very much.
Operator: This concludes today's conference. Thank you for your participation, you may disconnect your lines at this time.